Niels Stolt-Nielsen: Good afternoon, good morning. Thank you for joining us here today. We are live from London to present Stolt-Nielsen's Second Quarter 2022 Results. Together with me here in London is Jens Gruner-Hegge, our CFO. Moving to the agenda. As always, we will go through each of the businesses and Jens will then take us through the financials. And I will then open up for questions and answers at the end of the presentation. Moving now to Slide 4, the highlights for the quarter. We came in at the net profit of $58.6 million, that's up from $52.3 million in the first quarter. The EBITDA came in at $176 million and that's up from $159 million the previous quarter. That was driven by the improved spot market and volume that we saw in Stolt tankers, both the volume and the rates went up during the quarter. Stolthaven Terminals, we had high utilization and also higher throughput in most of our terminals. Stolt Tank Containers continues to deliver increased shipments and higher demurrage revenue. Stolt Sea Farm, higher fair value adjustment and the firm prices offset by seasonal lower volume of turbot following the seasonal strong first quarter. I remind you that our strongest quarter for Sea Farm is December which is part of our first quarter. We had a lower free cash flow due to the one-off we had in the first quarter where we received the insurance proceeds and also a larger investment activity in the second quarter. We paid dividend, the final dividend for 2021, May 11 of this year which gave us a total dividend for 2021 of $1 per share. Our liquidity at the end of the quarter was $450 million. Jens will go through that later. And we also, in the quarter, acquired three additional secondhand ships, 33,000 deadweight attractively priced. That brings our total chemical tanker fleet above three million total deadweight. Then moving on to the net profit analysis between each of the quarters. I'll walk very quickly through it. You can see that we have the $52.3 million in the first quarter of this year. We had a $15.8 million higher operating profit in Tankers, $3.7 million in Stolthaven and $4.7 million on top -- higher in STC and $2.6 million higher operating profit in Stolt Sea Farm. So all the business streams actually improved operating profit-wise in the quarter. That was offset by the Stolt-Nielsen Gas with a lower operating profit. That was due to the sale of a ship that we did in Avenir in the first quarter which we don't have. So there was nothing operating regular-wise, there was a one-off in the first quarter that we didn't have in the second quarter. Slightly higher corporate cost, that's driven by the long-term and short-term incentive accruals. And then we have the write-up of the debt issuing cost this quarter of $11 million. So we refinanced one of our facilities but that will give us future savings. So we did that deal. But had we not had that $11 million issuing cost write-off, then of course, it kind of shows the underlying improvements in our earnings. That brings us to a total of $58.6 million for the second quarter this year. Moving on to Stolt Tankers. This is really where we saw -- Stolt Tanker then is really delivered but also what we saw here is the beginning of the improvement in Stolt Tankers -- I'm saying beginning because I just think it is just about starting to come through. We had an increased trading result driven by volumes going off up 7.5% as spot volume actually increased 80  our total volume 7.5%, out of that, 18.7% came from the spot volume that we did. The COAs that we would do during the quarter was up 12% and moving. As you know, we renew contracts throughout the year. Actually, the first and second quarter are quite slow. But the contracts that we did renew, we did at 12% on average. And it was -- the market really didn't start to improve until the second half of April. So we're seeing a continued increase in the renewals that we're doing. We had a higher bunker costs but that was almost fully offset by the high bunker surcharge. So you can see on the graph that the higher net bunker cost is only $0.5 million, even though the bunker prices went up which kind of underlies our strong bunker hedging through our contracts. We had higher owning expenses as a result of high inflation, high inflation or increased cost of port and canal cost primarily. We had strong performance from all the regions. So inter-European, inter-Asian, inter-Caribbean and also inland barges all improved their performance and also improved results from all the joint ventures that we have. So improvements all over which is nice to report. If you look then at our bunker cost up on the upper left-hand side, you can see that the total cost is presented here in the dark bar. The green on the bottom is the surcharge that we received and the net result -- net cost is the red line which shows that even though the bunker prices went up, we were able, through our surcharges to be able to have pretty much similar bunker costs. The 12,874 is the number of operating days we have in the quarter. 98% of our COAs and 50% now of our spot fixtures include bunker clauses. So 98% of our COAs but now also we've been able to approximately a little over 50% of the spot fixtures that we do, we have a bunker clause. So on average, 62.4% of our bunker volume is covered through these bunker clauses. On the upper right-hand side, we have actually removed the index and we are starting to report the actual sailed-in revenue that we achieve on our deep sea, what we call STJS, Stolt Tanker Joint Services. And you can see that the sailed-in based on our fleet size which is represented on the right-hand side of the graph are now the fleet size of our -- we were able to achieve a $20,772 sailed-in. That was at the end of the quarter and we're seeing a nice, steady increase subsequently. I would say that we are now at 10%, 15% even right now, if we have to give a guidance but it's going steadily upwards. Just for your calculation, every $1,000 increase in sailed-in gives around a $24 million straight to the bottom line. The lower right-hand side is also why we are cautiously optimistic or quite bullish about the future is that the order book is quite low, 5.3% of which stainless steel, the segment that we focus on is just under 4%. If we then move to Slide 9. We are seeing, of course, change in product trade flows in the MR market. That is that the MRs, as you all know, that the diesel, the jet fuel, the petrol that is being -- that was traditionally sourced from Russia. More and more is now moving away from Russia. So the MRs are unsourcing these products -- are leaving our segment, going in and sourcing it from the U.S. Gulf or the Middle East or India. And that is -- we've always said that the supply/demand on the chemical tanker segment because of a very low order book, I mean if the global GDP continues to grow and the trade continues to grow, there was just a matter of time before the market will start to improve in our segment. But this was really enhanced by the MR market, the MRs moved the product tanker is moving away from our segment. And that's what we're seeing. Now you see all the graphs from the various markets report from Clarkson I think, that the spot market is improving. So we really have a positive momentum continuing to build across all major chemical trade lanes. Also, the regional fleets, the Asia Pacific, the Stolt-Nielsen SNAPS, SNICS, SNITS, as we call, are all delivering and seeing these improvements. What is also important is that it's not only the freight rates, of course, we're pushing the spot rates up and also the contract rates. I got to remind you that our contracts have usually a 12-month duration where we are committed for 12 months. And every quarter, we renew contracts. So the contract season is throughout the year but it's more heavily towards the second half of the year. So it will take us 12 months to kind of go through the whole renewal process. And -- so it will take 12 months before we see the full impact through our contracts and we are between 60% and 65% contracted. But it's not only the freight rates that we're working on getting up, almost equally important is also tightening of the terms and conditions. After having -- and I've got to state for whatever, whoever whichever customers are listening and I hope some of them are but you've got to see that where we are today at the current level, it's still not as sustainable. We are not kind of making a return above our cost of capital. So we have a long way to go. This business has not been sustainable over the last 20 years. It's been around 5% return on capital employed. So we have a long way to go. So -- and we're not only -- it's not only freight rate but also the terms and conditions that have been deteriorated in a weak market. And it's not only the financial results that impacts but it's also the environmental impact of these deteriorating rates by giving -- we spend too much time in port. The customers have been able to get -- to compete, you need to get low demurrage rate or lots of late times and all these favorable courses which don't incentivize anyone to improve and then make investments in infrastructure on land to get the efficiency out there. So we really are pushing not only the freight rate but also terms and condition to kind of sell  there is an incentive to reduce and become the time spent important and really, yes, cutting the waste which is, of course, financially for us, important but also, of course, environmentally, I think, is also important. And as I also mentioned earlier, we have -- even though we haven't ordered the ships, we have been active in the secondhand market. We bought our CTG ships about two years ago but we also bought three additional ships which has delivered -- expected to be delivered this summer which brings the total fleet up to 163 ships in our fleet but out of which, 83 are in the deep sea, bringing the total deadweight of over three million from deadweight. Moving on to Stolthaven Terminals. Here, we also see a relatively steady and nice improvement. So we were able to get a higher operating revenue. That was due to higher utilization rate and also increased the throughput, increased rail activity and dock activities of $3.1 million, slightly higher operating expense, that excluding the one-offs, the higher operating expense as a result of the higher rail activities and the people that needs to operate. So when you have higher activity, of course, you have also higher operating expenses. Slightly higher depreciation compared to last year. We sold Port Alma in Australia and that leaves us with actually two terminals in Australia and one terminals in Newcastle. So we booked a gain on that sale, giving us a $1.2 million one-off. Higher income from our joint ventures of $0.7 million and slightly higher A&G, bringing in the total operating profit for the quarter, $25.7 million. You can see -- of the utilization and the equity income, the EBITDA, the development and it's moving in the right direction, quite steady. The comment I can say about the market is, of course, what we have learned over the last couple of years when they have these logistical challenges that we have seen with the higher container rates, more customers are now looking at. Maybe we shouldn't ship in tank containers, maybe we should move back to tankers and to be able to do that, they need terminals. We're also seeing that they are not focusing only on the high lowest rate but they're looking at the reliability of getting the product to their customers. So people are kind of -- and also because of the uncertainty in Russia, we're seeing that the customers are starting to stockpile or having -- keeping a little bigger inventory for their key products. So we are seeing a nice demand in the U.S. Gulf. We're seeing steady in Europe. The slowdown in China, particularly due to the supply chain issue and also the COVID restrictions but it's holding pretty steady in Singapore and in China. And I think we will see an improvement in China once they finally start easing the restrictions. Moving to Stolt Tank Containers, the star so far this year is also celebrating its 40th anniversary this year. What a journey it has been. The transportation revenue increased by 21.4% and that was driven by 5.4% higher shipments and a 15% higher rates as the ocean freight rate cost was passed on to the customers. So we saw a big increase in ocean freight from the container lines but we were able to pass down to our customers. So the operating profit increased but through higher transportation revenue by $30.2 million in the quarter. We also had demurrage revenue increased by 10.3% as a result of logistic bottlenecks and customers holding on to the tanks longer. That was okay, again, offset by higher move expenses and the move expenses are the, as we said, the container lines but it's also -- so it's the ocean but it's also the inland  trucks and also repositioning costs. Higher -- that's the higher repositioning expenses. Lower other operating expenses in A&G, bringing the operating profit for the quarter of $44.7 million. It looks like we will have a record year for Stolt Tank Containers this year. And it looks like it will continue. Demand continues to outpace -- I'm on Page 15. Now demand continues to outpace tank supply and margins are expected to continue. Shipments negatively impacted by the logistical bottlenecks and we believe that that's going to continue and high logistic costs could negatively impact the demand of general here. So -- and the cost go as high as they have, we are -- we would expect some demand destruction, hopefully, we'll be able to pick that up in tankers. The containership capacity limitations are expected to continue also this year. So we expect continued high freight cost. The biggest challenge really is the port congestion which will keep pressure on freight rates, even though new ships are expected to come in, in 2023, the infrastructure is continuing to be a challenge. On the lower right-hand side, you can see -- on the top side, you see the number of shipments and you see the quarterly shipments, et cetera. On the lower side, you see the revenue per shipment is up 15% and transportation cost per shipment is up 24%, reflecting the higher cost that the container lines charge in the quarter. But the revenue per shipment is a higher number than the transportation cost per shipment. So we still are basically -- we're able to pass on the total cost of the increased -- the cost of making that shipment. Moving to Stolt Sea Farm. Another anniversary, it's the 50th anniversary of Stolt Sea Farm this year that we are celebrating. Here, we see also a fantastic development. So the operating profit on the previous quarter was $5.9 million. The lower turbot sale was decreased and that's mainly due to seasonality. We saw a fantastic higher sole sales, increased significantly by 25%, while the prices remained relatively flat. The higher sole price volume that we saw is very much driven by the success that we're having with our recirculation plant. And it's just -- it's doing very well. We had the lower operating expense as a result of lower traded volume for turbot and flat operation expenses per kilo of turbot owned. In other words, we ended our agreement with our neighbor, so we're only operating -- selling our own fish these days. We had higher A&G and depreciation of $0.5 million. And you have a positive fair value adjustment for the quarter of $4.4 million, bringing the operating profit up to $8.4 million. So I mean the top line here, the top part of the graph is all negative but that is driven by seasonality, the first quarter which includes the Christmas sale in December is the strongest and the second quarter is traditionally weaker. And I'd like to show you this chart here that the strong recovery that we have in turbot volumes post lockdown. Remember, the turbot that we sell -- the turbot that we produce is sold to hotels and restaurants. And when there was lock down, we have to take kind of dramatic measures to reduce our biomass. We have to freeze, et cetera. But we have -- as you can see on the upper right-hand side, we've been able to get both the sole and the turbot volume up back to pre-pandemic levels. And actually, the sole has grown 57% year-on-year. And also, you can then see that the prices increased significantly. So the last 12 months EBITDA is now close to $29 million, creeping up to $30 million. And I think the market will be in our favor. You probably have noticed that the salmon prices that got out fleet , that is very much -- there's a lack of seafood. There's lack of landed products and that's driven by, again, the pandemic where fishermen -- some of these fishing fleet, all  because they couldn't service their deck during the pandemic. So there's less -- and also the fuel prices there, less fishing vessels out in the ocean. So there's an outright shortage of fish which we are seeing being reflected in the prices that we get. Moving to Stolt-Nielsen Gas. This is a picture for one of our ships delivering a cargo at our Sardinia terminal. Today, we are -- we say the leader in small scale segment in terms of size, flexibility and operational efficiency. We have an attractive portfolio of assets of five and one LNG terminal. The final ship was delivered in May of '22. And once that is delivered and it's actually now these days being delivered for a charter, so we have three ships on time charter. And then we have two ships further with value creation, it's from direct LNG supply. And we're going to leverage the two vessels that we operate ourselves to deliver to our own terminal but also we are participating in the bunkering operation and building a bunkering business in the Baltic. The significant growth potential from the redeployment of time charter assets into new LNG supply projects and expanding into new terminal. Well the strategy, it's really not -- we don't want to be a shipping company, we want to be a supplier of small scale LNG. And while we build up that offtake, we will put the ships on charter but what we're really focusing on is building terminals and offtake agreement. So we can supply these standard demand. Okay. That completes my part of the presentation. I will give the word to Jens, who will take you through the financials and then I'll come back and hopefully answer some questions.
Jens Gruner-Hegge: Thank you very much, Niels. And good morning to those of you in the United States and good afternoon for those of you dialing in from Europe. Just as a reminder, our fiscal year still runs from December one through November 30 which means that our second quarter ended on May 31. Also, we have today posted on our website, both the earnings release and the interim financials as well as this presentation so that it is available to you. And our website is www.stolt-nielsen.com. Moving on into the details. As Niels has covered much of the operating revenue and operating expense, I will not spend time on that. I'll go more into the details below. And you will see that compared to previous quarter, our depreciation and amortization increased by $2 million. Part of this is because of an increase in calendar days during the quarter which impacts increased tankers depreciation of $1 million. And part of it is because we've been buying more tank containers and thereby also been increasing the depreciation. Year-on-year, you will notice that it's actually down from first half of '21. That is because at the end of each fiscal year, we go through and reassess the residual value of our assets with rising steel prices that we saw late 2021, we increased the residual value and consequently reduced the depreciation. So that -- just so you understand why that is different. You also see a drop in the share of profit of joint ventures and associates which considering the improved results in each of the divisions, you would expect that to be higher. The reason is, of course, as Niels explained, the negative result in Avenir compared to the prior quarter and that was because in the prior quarter, we took a gain on the sale of a ship. Otherwise, if you look at the underlying steady -- you take that outlook at the underlying steady development of the joint ventures, there's actually an underlying improvement of about $2 million in the share of profit from the joint ventures. Administrative and general expenses are slightly up. This is, of course, also reflecting the improved profitability of the group and that means we are accruing more for profit sharing. That's partly offset by a stronger U.S. dollar which tends to reduce the A&G cost in dollar terms. We had a gain on sale of assets that includes the gain that we took on the sale of the Australia terminal in Port Alma. Then going down to net interest expense. We've here split out the loss on the early extinguishment of debt of $11.1 million which is part of interest expense, just to give you a feel for how the interest expense is moving as we continue to work on debt reduction. Having repaid the debt early has allowed us to reduce the overall margin and interest expense on the remaining loans and you'll see the savings going forward, as Niels mentioned. We had a slight FX loss of $3.6 million and that is because we have hedged the dollar or the non-dollar currencies as the dollar has strengthened and some of those have been realized at losses. And the income tax expense, you'll see is up and that's in line with the improvement in the businesses. So as such, we end the year with a net profit of $58 million of the quarter, I should say, with a net profit of $58.6 million, up from $52.3 million in the prior quarter and you have an illustration on the strong growth of the EBITDA on the right-hand side if you want to map that out. Moving on to capital expenditures. You see in Stolt Tankers, we have -- we're building a barge and this includes the progress payments on that barge. Expected delivery early 2023. In addition, there are deposits paid on the ships -- the secondhand ships that Niels mentioned, the 33,000 tonnes , that's predominantly what's in tankers. In terminals, you have maintenance projects that are ongoing as well as improvements in safety that we're continuously investing in. And then also, as announced before, we're working on renewing the jetty at our Dagenham terminal and we spent about $4 million on that. And then on Stolt Tank Containers, we continue to take delivery of new tanks and we're also upgrading our facilities at our various depots and waste order treatment plants, so that we are making sure that we maintain the quality that is expected. In SNL corporate and other, this is predominantly related to software developments. So it puts our total capital expenditures at $44 million. And as Niels mentioned, that's higher than the prior quarter were at $21 million. We do have a scheduled $184 million remaining for the rest of the year. It is a high number. We'll see how far we will get on that but we're also seeing some accelerations in CapEx activities going forward. Moving on to the cash flow. On Slide 4 of this presentation, it was mentioned that we had $88.6 million in free cash flow. That is the top line $154.6 million, so tracking out the net cash used in investing activities of $68.5 million, just for those of you who want to reconcile those two numbers. Moving through from the top. The reason our cash generated by operating activities was down from the prior quarter was if you may recall that we took -- we received insurance payouts related to the Groenland in the first quarter as well as the capital distribution from Den Norske Krigsforsikring of the $12.5 million also in the first quarter and hence, the cash generated was down. Second quarter interest payments were up and that's typically because some of our loan agreements will run on quarterly interest payments but also some of them run on semiannual, that will typically be around the fourth and the second quarter that you'll see those interest payments happening. And there's always a little bit of a blip than in the second and the fourth quarter. Income taxes paid in line again with the improved performance and that means cash -- net cash generated by our operating activities were $111 million, down from $164 million. Capital expenditures were $49 million, up from $24.5 million. The difference between the $49 million and the $44 million on the previous page is due to the dry dockings predominantly because dry dockings, we don't include in our CapEx schedule. Also, you see we spent $20.7 million on purchase of shares. These were the Odfjell shares that we bought during the quarter which brought our shareholding up to about 7.6% and just in excess of five million shares. We have -- that brings net cash use investment activities up to $68.5 million. And you'll see that issuance of long-term debt and repayment of long-term debt was pretty much in sync with each other. So not much movement on the actual debt side but then we did pay down on capital leases of about $13 million. And as Niels mentioned, we also paid a dividend on May 11 of $26.8 million. So net cash used in financing activities were $37 million. And then the FX losses that we took during the quarter, this is the cash portion of $4.1 million. So the net cash flow was $1.3 million and we ended the quarter with $115.6 million. Looking at the bottom right, you will see that we had also $334 million in available credit lines. So bringing our total liquidity available to $450 million at the end of the second quarter. And we have plans to spend some of that during the second half of the year, as you will see on this debt maturity slide. The most significant one is in the fourth quarter where we have in September our U.S. dollar bond of $175 million maturing. So the reason we're now carrying this significant amount of available liquidity so we can pay this off with cash. We have other than that, not much of significant maturities until we get to the third quarter. It's actually June of 2023, when we have another bond maturing of $132 million. Now we are seeing an inflationary environment which is causing central banks to raise interest rates. And we are, therefore, make sure that we keep a relatively high degree of fixed rate debt in order to shield ourselves from the impact of rising interest rates. We were at the end of the second quarter, we're at 82% fixed rate debt. And you can see that our average interest expense -- interest rate is about 4% -- just under 4.5% and that's remained relatively steady over the last five quarters. With the repayment of the bond in September, that fixed rate debt will go down as we draw on the floating rate revolving credit lines. So you will see a reduction in that as we get into the fourth quarter of this year. Then moving on to our financial KPIs. The top left is our debt to tangible net worth and that's a covenant under loan agreements as is the top right, the EBITDA to interest expense. And we have plenty of headroom here. Not much reduction as you will see in the gross debt or net debt. As you saw on the cash flow slide, the debt movement was small in this quarter very much because we are preparing ourselves for the September bond maturity. And when that happens, you should see a bit more of an increase as we use cash on hand to pay down that debt. The leverage ratio, net debt to EBITDA is improving very much driven by the improved EBITDA that you see on the right hand -- bottom right and quadrant which is now on the last 12-month basis up to $646 million, reflecting the improvement in results from businesses. And with that, I'd like to give it back to you, Niels.
Niels Stolt-Nielsen: Thank you, Jens. So moving to Slide 27. So finally, all cylinders are firing at the same time. We have seen quarterly performance at a multiyear high across tank containers, terminals and Stolt Sea Farm. The businesses are delivering, I'd say on its strategy and we have the fundamentals as it stands, are quite strong in our favor. Even the chemical tanker market, as we have seen, has now started to pick up. And it look -- the order book is where it is, even if you order ships today, you wouldn't get anything before '25 or '26. The MRs looks like will be a way for quite a while. I think that whatever happens in Ukraine, unless you understand we can't be dependent upon one source for supply. So I think the MR market also will be strong for the foreseeable future. So everything looks really good. This is really what we've been waiting for. But then we can't ignore what's going on in the world. And if you look on the right-hand side, inflation has risen sharply driven by an underinvestment in oil and gas, the last 10, 15 years. And that takes a long time to -- it takes about three to five years to get the oil and gas out of the ground, so we can expect that. We have the workforce where have all the workers gone after the pandemic, people have retired. There's also the salary inflation. And the third part which is probably the most scary one is with the war in Ukraine and Ukraine and Russia being one of the big breadbasket for the world. We're also starting to see food prices going up and not only food price is going up but there's going to be a shortage of food next year. So it's very high uncertainty out there. And we have tried to study what the impact, not only regional inflation but a global recession, sorry, what impacted historically than it has on the movement of chemicals. And looking at each of the businesses, it's been actually quite resilient. We see a dip but the demand for the feedstock for manufacturing, the chemicals that we transport has actually picked up quite quickly. Now I don't know if we can look at the past and use that in the current situation, I think we are in an unchartered territory in our lifetime. So a high degree uncertainty. So the fundamentals look extremely well for us but we are not kind of -- we need to be realistic. There's a lot of uncertainty out there. So we will continue to focus on getting the cash flow up and then use it to focus on reducing our debt. And it's natural depending on how it develops, our target area is to continue to increase dividends to our shareholders and be in a position when good opportunities come our way to invest. So it's just kind of a macro picture the way we look at the world right now and how we behave and the way we're thinking. The key messages, as I say, rising inflation, higher energy cost and the geopolitical events around the world concerns. However, the performance across our businesses is robust and we have the highest net profit since 2007, the quarter earnings since 2007. The last 12 months, EBIT was 29% higher year-on-year at $646 million. Our net debt to the last 12 months EBITDA is less than $3.5 million. And the chemical tank market continues to strengthen with the rising spot rates supported in the order book -- by an order book that is at historical lows. And I'll remind you again, it takes 12 months before we see the full impact. But we are seeing significant rises in the rates that we are able to renew our contracts there. So solid outlook for the second half of '22 but we will focus on generating cash flow to maintain a robust balance sheet and shareholder distribution and continue to grow our business. That completes our presentation. We will now go over to the questions. And from what I understand, we're not going to call in, you can ask questions by using the chat function or the -- and the first question, with increased net profit, will Stolt-Nielsen consider increasing size of dividend? So the Board has the authority to -- the Board recommends and the AGM approved dividends. But I would -- so I can just say that it would be reasonable to think that when the profits increase also the dividend should increase. Have you seen any changes in the chemical tanker trading following the war in Ukraine? What product volumes are being affected? For the chemical tanker segment, we do -- we are not impacted by the war in Ukraine. So we don't have any business into the Black Sea or very little business to Russia. So there's no impact in tankers. We are doing -- we are seeing some change in products being replaced, so the vegetables that are not coming out of the Ukraine are now being sourced in different locations. Tank containers, I think we had 100 containers -- total of 100 containers in the Ukraine and five  in Russia but very little part of our business is in those regions. In your view, how much of the current market improvement is driven by stronger product tanker earnings and how much could be attributed to the chemical tanker market itself? In other words, is continued strength in the chemical tanker space depending upon product tankers? It's a good question and it's true that it is really the product tankers that are taking the easy chemicals, not the business that we focus on but the easy chemicals which then put pressure on the spot rates which then put pressures on our COAs. And we need to kind of try to have the guts to distance ourselves from that market because the COAs that we carry, the products that we carry on our COAs, those products cannot be shipped on product tankers. But I think, as I said before, the order book and the supply of new tonnage in our segment is low and the growth, depending of course, if the world continues -- it doesn't go into a global recession, I think that the chemical tanker market will recover really regardless or will be less impacted by the product tankers. Now the product tankers that they are now going longer distances to source refined products, I think is a long case scenario. And the order book there is also low. So I believe that we will benefit from both the product tankers being away but also low supply of new ships coming in. The supply of new ships coming in, in our segment is kind of natural. The returns in this business does not yet justify newer ones. Another question pointing to demurrage -- the demurrage  returns of 5% over the last 20 years, does it make sense to spin out the chemical tank business as asset values and earning prospects improve? While we have stated since 2017 that it is our intention at the right time to do an IPO Stolt Tankers. But I felt that you need to have kind of an earnings and a recovering market before you do an IPO. So I would say it's -- one thing is the return. I think that all the work that we've done even before the market recovered and being more disciplined in what we build and what we buy and how we operate it, I think that we should be able to achieve a sustainable return based on what we control ourselves. But of course, with the improved market that we're seeing now, the time is -- I would think that the time will be right to kind of again look at the potential IPO Stolt Tankers. We are Stolt basically, we don't need to do anything. We don't have to do an IPO. Our balance sheet is strong enough to support the growth and maintain our market position in all of our businesses. But I've stated before that I think it will be healthy and good for Stolt tankers to be a stand-alone publicly traded company, a clean chemical tanker. Because I think in the long run, even though we are enjoying a strong market now, I think in the long run, there is room for consolidation in this business. It's too fragmented. If you look at all the operators and all of the tonnage out there, we have a small -- relatively small market share. So there is room for consolidation. And the consolidation is so you can build and build scale. The only way we will be able to get our operating costs down and our utilization up is to build scale. And that's really if we have an IPO and a stand-alone company, we will be better positioned to do further consolidation. If we then move to -- there's a question here, I don't understand. Yes, that is really -- it was a question in regard to Avenir LNG. Are you looking to get exposure to the carbons given expectation to gas prices to remain elevated in the coming years? Well, our strategy for the strategy for Avenir, just to kind of restate that. It is not to be a shipping company. It is to supply LNG. And even though the LNG prices are very high today, we are still seeing a lot of opportunities. People will want to secure energy, secure alternative source. So we're seeing quite a few projects. And there is an incentive for -- there are some companies that need to build LNG because it's the cleanest fossil fuel that we have. So we are seeing, even though extremely high LNG prices, we are seeing quite a few projects coming our way where they're looking at where we can then source the LNG for the -- ship it for them, store it in terminal and supply them with LNG. And building an aggregating demand and building that scale to make it most logistical-wise economically -- economic possible. That was all the questions that we have today, unless there's any other questions coming in. Thank you very much for participating in the second quarter earnings. I hope to see you again on the third quarter. And let's see if we can beat the -- the third quarter can be better than the second quarter which I believe will be. Thank you very much. That completes our presentation.
End of Q&A: